Hennessy - CEO: Jarrod Yahes - CFO
Operator: Good day and thank you for standing by. Welcome to the Q4 2023 Shutterstock Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised today's conference is being recorded. I would now like to turn the conference over to your speaker today, Chris Suh, Vice President of Investor Relations and Corporate Development. Please go ahead.
Chris Suh: Thanks, Kevin. Good morning, everyone, and thank you for joining us for Shutterstock's fourth quarter 2023 earnings call. Joining us today is Paul Hennessy, Shutterstock's CEO; and Jarrod Yahes, Shutterstock's CFO. Please note that some of the information you'll hear during our discussion today will consist of forward-looking statements, including, without limitation, the long-term effects of investments in our business, the future success and the financial impact of new and existing product offerings, our ability to consummate acquisitions and integrate the businesses we have acquired or may acquire into our existing operations, our future growth, margins and profitability, our long-term strategy and our performance targets, including 2023 guidance and long-range financial targets. Actual results or trends could differ materially from our forecast. For more information, please refer to today's press release and the presentation material discussing our long-range financial targets which are available on our website. Please also refer to the reports we filed with the SEC from time to time, including the risk factors discussed in our most recently filed Form 10-K for discussions of important risk factors that could cause actual results to differ materially from any forward-looking statements we may make on the call. We'll be discussing certain non-GAAP financial measures today, including adjusted EBITDA and adjusted EBITDA margin, adjusted net income, adjusted net income per diluted share, revenue growth, including by distribution channel on a constant currency basis, billings and free cash flow. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures can be found in the financial tables included with today's press release and in our 10-K. I'd now like to turn the call over to Paul Hennessy, CEO.
Paul Hennessy: Thank you, Chris, and good morning to everyone on the call. We appreciate you joining us. We have a lot of ground to cover today. We'll be discussing Shutterstock's 2023 results and 2024 guidance. In addition, we'll introduce a new framework to help investors better understand the company's long-term trajectory, including long-term financial targets for 2027. We have posted material that outlines our framework for Shutterstock 2027 on our Investor Relations website. I'll turn first to Shutterstock's strong performance in 2023. Shutterstock generated a record $241 million of EBITDA on $875 million of revenue in 2023, in line with our most recent guidance and well ahead of the initial guidance we had issued a year ago. In 2023, 6% top line growth was paired with 27.5% EBITDA margins and 10% EBITDA growth. For the full year, our enterprise channel grew 33%. As investors are aware, the exceptional growth in our enterprise channel was driven by the strength of our data revenues, which more than quintupled to $104 million in 2023. Excluding data, enterprise had another strong year growing 8% in 2023, with growth accelerating to 12% in Q4 2023, driven by continued strength across content, studios and Giphy. For the full year, our e-commerce channel declined 12%. While e-commerce revenues were softer than expected, operational improvements to the top of the funnel to the broader customer journey are stabilizing the business and we are confident it will improve gradually over the course of 2024 and return to growth. To that end, we have a number of initiatives underway to drive a recovery in revenues from our small and medium customers that constitute the bulk of e-commerce revenues. These initiatives span two core areas: one, driving higher traffic and higher conversion rates at the top of the funnel and two, driving higher retention for the customers we've already converted. We are also in the process of dramatically reducing free trial as part of our conversion funnel. Reducing the use of free trial as a conversion tool has led to some short-term pain in new customer additions than subscriber counts. However, we believe this is the right course of action to build a strong base of highly retentive customers seeking a premium stock content offering. We also believe that new and higher AOV content types will help us back to growth. Video and 3D have begun to pick up steam. For Shutterstock, the revenue from video, 3D and music has grown at double-digits for the past 4 years. Video, 3D, music and other non-image revenues as a percentage of total content revenue have increased from 25% to 35%, driven by higher AOV and revenue per download. We expect this trend to continue. And on the generative AI front, we are squarely focused on monetization and creating generative AI focused product SKUs. We have now deployed multiple image generation APIs accessible within each of our products and are optimizing the technology to the specific customer behavior and product SKU. And we expect to be in market with our 3D generative capabilities this year. Switching gears, let's look ahead to our 2027 long range targets. Over the past several years, the profitability of our content business has allowed us the flexibility and freedom to invest in other areas that offer faster opportunities for growth. These investment opportunities are both adjacent to and highly complementary to content. And now these investments are rapidly transforming into true businesses with multibillion dollar TAMs with high growth potential. And going forward, we'll be shining a light on them and providing revenue breakouts across 2 categories: content and data distribution and services. This transition in reporting reflects the shift to emphasize our offerings rather than the sales channels we use to go-to-market. Content is sold both online and through our global sales team. As a company, we are focused on acquiring and retaining customers, small, medium and large, in a cohesive and integrated fashion and the e-commerce versus enterprise dividing line has become increasingly blurry. Furthermore, the new reporting line enables us to provide greater line of sight into our non-content revenue streams, which before had been embedded in enterprise. As we think about our content category, since inception Shutterstock has been and will continue to be a leading global creative platform that connects brands and businesses to high quality content. Across a range of brands and content types, our content business grows steadily, operates globally at massive scale and generates large amounts of cash. Our content business generated $737 million in revenue last year, making us one of the largest players in our industry and is powered by the industry's largest content library across content types. We also have the largest network of contributors and multiple channels with which to go to market, including a global sales force and multiple web properties that service a range of customers. This past year, we layered generative image creation and generative editing capabilities into our offerings, thereby making both stock content and AI generated content available to our customers. Shutterstock's content business occupies a leadership position within the stock content industry and enjoys significant scale, brand recognition and operating leverage. However, the stock content industry is a more mature market with a TAM that approximates $8 billion growing at 5% to 7%. We expect to return to growth at the higher end of this range by leveraging our current strengths in areas like video and 3D and leading with newer content types like generative image, video and 3D. We intend to improve our leadership position in soft content by being attuned to customer demand signals for content and meeting their evolving needs. Our acquisition of Backgrid last month is a prime example of meeting customer demand for content. With this acquisition, we expanded our editorial library with an additional 30 million images and videos across candid celebrity, red carpet and live events and added more than 1,400 contributors. In short, we acquired exclusive trending content, marquee customers and a loyal customer base. Backgrid augments the launch of our editorial subscription last year and combined with our Splash acquisition positions us well to be a supplier of choice for entertainment content. And so now having reviewed our core content category, I'd like to talk to investors about our emerging growth businesses, which going forward we will be reporting out as data distribution and services. Shutterstock's data business occupies a pivotal position on the generative AI value chain. Today, we are a preferred provider of training data for generative AI model due to the depth and quality of our ethically sourced content and metadata and the accompanying legal protection we provide across images, video, music and 3D. As we look ahead, AI and machine learning model training will continue to be a growth opportunity, especially as we look to diversify our revenue base by targeting new buyers beyond the hyperscalers. In fact, we just won our first seven figure contract involving a venture backed startup in the generative AI ecosystem, and we feel there are much more such opportunities ahead. We'll also be expanding our delivery model by leveraging our cloud marketplace partners. This will allow us to go from being a wholesale provider of data to the likes of Meta and OpenAI to a retail provider of data to the hundreds of companies we believe are going to custom train their own models. To that end, we are in the process of rolling out Shutterstock's training data onto data marketplaces of DataBricks, Snowflake, Amazon and Google Cloud. We are just starting to gain traction through this expanded distribution and we are excited about leveraging the large scale sales teams and marketing support of these major partners. Data is a sizable TAM with enormous growth potential. Licensing data sales for training generative AI models is estimated to be a $9 billion TAM by 2030, with a growth rate of over 20%. And we believe we have some of the most unique and differentiated assets in the space to be able to win here as reflected in the growth of our data business, which grew to $104 million in 2023. Next, let's talk about distribution, which includes our newly acquired Giphy platform. Giphy is a scaled content platform that reaches more than 1 billion daily users, serves more than 10 billion pieces of content daily and has more than 20,000 API/STK partners. The Giphy platform extends our reach into conversational content, which provides us with an enormous opportunity to build a native advertising business built on contextual signals. Native advertising is a $95 billion business in the U.S. alone, growing at 14%. And Giphy is well positioned to be an industry leader in moment marketing within real time conversations. Furthermore, Giphy allows us to expand our API relationships with the major tech giants and other API partners, and we will be looking to convert these partners into paying customers. Giphy also evolves our ability to be an end to end solution for advertisers who can rely on us for both custom content creation and broad media distribution. In the past few quarters, we've already developed advertising relationships with brands such as L'Oreal CeraVe, Pepsi's Pure Leaf Tea and Sony plus additional work for two major financial service brands and a leading delivery service. These initial tests started small, but are already rapidly expanding. The potential for budget and scale is tremendous here. Giphy has the potential to be hundreds of millions of dollars in revenue based on industry CPM rates of $5 to $10 and the billions of viewable impressions on our platform. Lastly, Giphy ties into our data business and the content library contains a rich repository of data and extends the scope of our licensable dataset to now include Giphy. We are very excited about the early momentum of the Giphy business, the impressive breadth of deals already won and the robust pipelines in place, and we're looking forward to keeping you informed as we grow the business. Next, let's talk about services, which includes Shutterstock Studios. We launched Shutterstock Studios in 2020. Our Studios business is growing rapidly and we see the opportunity to grow 25% for the long-term. Since inception, we have delivered an award-winning array of work spanning 32nd spots, branded documentaries, animated commercials, experiential activations, episodic series and more. We continue to see strong demand and a robust pipeline going into 2024 for customers' traditional production and creative needs from the world's biggest brands and creative agencies. And most recently, we've already won work and see significant growth opportunities in the realm of virtual production and games development. Virtual production is a $2 billion market and is a very natural alignment between our TurboSquid 3D assets and Studios offering that makes us unique. Now with the production power of Shutterstock Studios, we leverage 3D and virtual production technology at scale, creating virtual environments from real locations and building fantastical worlds that are truly immersive. This is the same method that was initially pioneered by Hollywood Studios and we're now adapting the same technology for commercial projects worldwide. This is completely transforming how our customers are approaching global content and marketing, because of the investments we've made in 3D, this become a viable alternative to feasible production, creating new paths that are more sustainable, efficient and creatively empowering. Meanwhile, game development is a $45 billion market and you can't talk about gaming without talking about 3D. 3D content is a critical component in games and TurboSquid is a trusted name for that content. Moreover, companies are looking to enter the gaming space with their original IP. Budgets are tight. Talent is in short supply. Shutterstock's 3D assets, Studios footprint and global talent network gives us the right to play and win in this exciting realm. Taken together, our data distribution and services offering massively expands our TAM by over 10x. These offerings already account for 16% of Shutterstock's total revenue today, and we expect this percentage to grow to 22% of total revenues by 2027. We have developed a clear leadership position in content and a massively successful and profitable business, and we intend to do the same thing in data distribution and services over the next several years. We will be innovating and investing in these businesses, setting them up to grow over 20% per annum for the long-term. As a result, we expect Shutterstock 2027 to result in significant reacceleration of our revenue growth to 10% with even faster growth in profitability. In conclusion, we're proud of what we accomplished in 2023 and the growth and profit we delivered for our shareholders. Across our business, we believe there are tremendous opportunities to accelerate growth and we believe in Shutterstock's 2027 long-term targets and approach to allocating capital to large fast growing opportunities to accelerate the growth of our business. As a team, we are united in purpose and mission to empower the world to tell our stories by bridging the gap between idea and execution and to connect customers to the content they need. I really like the hand we have, and we're excited for what's in store in 2024 and beyond. I'll now turn the call over to Jarrod to review our financial results, 2024 guidance and the financial impact of Shutterstock 2027.
Jarrod Yahes : Thank you, Paul, and good morning, everyone. Shutterstock's revenues were up 6% in 2023 to $875 million significantly better than expectations we had at the beginning of the year and at the midpoint of the guidance provided in the third quarter. In the fourth quarter, we grew our enterprise channel excluding data by 12%, a sharp acceleration and in line with our expectations. While our e-commerce revenues were softer than we expected, we are stabilizing the business and improving our results and expect to get back to growth during 2024. EBITDA was a record $241 million this year with margins of 27.5% and annual EBITDA growth of 10%. 2023 is the fourth consecutive year; Shutterstock has outperformed our EBITDA margin targets. The combination of revenue growth and margin expansion has resulted in an EBITDA growth CAGR of 26% over the past 4 years. In the fourth quarter, EBITDA margins were 21% as per our expectations. We took advantage of our strong year-to-date margin performance and made significant investments in sales and marketing, while still delivering 120 basis points of margin expansion for the full year. As I review the P&L, line items are net of related depreciation and amortization, stock compensation and other expense items necessary to reconcile to our adjusted EBITDA. Gross margins in the fourth quarter declined by 3 percentage points to 65%, driven largely by the shift in our business mix, including the acquisition of Giphy. Sales and marketing expense in the fourth quarter was 26% of revenue compared to 21% in the prior year. This increase was the result of expected increases in performance marketing and branding spend. Product development was 6.4% of revenue flat to the prior year and G&A expenses were 11% of revenue compared to 13% in the prior year, driven by lower salary expenses. Turning to our balance sheet, we had $100 million of cash at the end of the quarter and $30 million drawn on our revolver. Free cash flow was strong at $42 million and EBITDA to free cash flow conversion was 90%. In January, we deployed cash for acquisitions, acquiring Backgrid for $20 million. We expect the Backgrid acquisition and our annual performance bonus to impact our cash in the first quarter in line with historical seasonality. As a testament to the confidence in our future cash flow, Shutterstock increased its quarterly dividend by 10% in January to $0.30 per share, our fourth year of double-digit dividend increases. We also bought back 1.6 million shares for $100 million under our share repurchase programs over the past 2 years, representing 4% of our shares or 6% if including the shares we were purchased from employees for tax withhold to cover. For 2024, we anticipate continuing with our strategy of capital redeployment with excess free cash flow is being used to acquire businesses, pay dividends and to repurchase stock. I would now like to turn to 2024 guidance before discussing our long-range financial targets. For the full year, we expect our revenues and adjusted EBITDA to be unchanged with $875 million of revenues and $241 million of EBITDA. In 2024, we expect content to continue its solid growth with medium and large sized customers. We also expect stabilization of our business with smaller online customers. The two customer segments are expected to offset each other, resulting in content revenues being flat for the full year. Year-over-year growth rates for content will start the year negative and improve gradually each quarter over the course of the year. In 2024, we expect data distribution and services to be unchanged from 2023 as we set the stage for accelerated growth. Distribution and services will grow rapidly this year, driven by strong new customer acquisition and ongoing momentum. And while demand remains strong and the TAM is large and growing, our data offering is undergoing a known transition from an upfront licensing model to one where revenues are recognized ratably over time. Our EBITDA guidance assumes normal annual levels of sales and marketing expense of 24%, consistent with the past several years. We expect adjusted earnings per share to be in the range of $4.15 to $4.30 and effective tax rate in the high teens and CapEx consistent with prior years. I would now like to review our long-term financial targets and what to expect from Shutterstock 2027. As Paul discussed, we are fundamentally changing the way we invest in and report out on our business. Q4 will be the last quarter that we break out revenue channels between e-commerce and enterprise. As we focus on the execution of Shutterstock 2027, we have an opportunity to dramatically take up the overall growth rate of our business by making focused investments for growth in data distribution and services, while maintaining our leadership position in content. We expect our content business to return the high end of industry growth rates of 5% to 7%. We are confident that we can achieve a reacceleration of growth, leveraging our existing leading portfolio of content and brands and strong distribution with our world class global sales team. We also plan to capitalize on our leadership position in content types beyond image, such as video, 3D and music. These content types are growing much faster at 12% per year, have higher AOBs and now comprise 35% of our content business, up from 25% just a few years ago. We are targeting 22% growth in data distribution and services. Our data distribution and services offerings are already growing rapidly with exciting demand signals. They've proven their ability to scale and become meaningful businesses. These fast growing businesses will go from 16% of revenues today to 22% of revenues by 2027. The mix shift will also have the effect of increasing our company growth rate by 300 basis points to 10% annually. By the end of 2024, we will have made the requisite investments and be well positioned to capitalize on the massive TAM opportunity in these businesses. Our fastest growth businesses in data distribution and services are also some of the most profitable, creating a tailwind for margins. For example, data benefits from 20 to 30 points of lower SG&A costs and distribution benefits from 10 to 20 points of higher gross margins than our corporate average. Longer term, we expect EBITDA margins to improve from 27.5% today to 30% by 2027, driven by 1% to 2% improvement in gross margin due to the business mix change to our data distribution and services and a 1% to 2% improvement in operating leverage through reduced SG&A and R&D costs. Achievement of our long range targets will result in $1.2 billion of revenue in 2027 and revenue growth of 10% per annum. Combining double-digit revenue growth with expanding margins will result in even faster EBITDA growth of 13% with $350 million of EBITDA by 2027. Based on our strong free cash flow margins, we expect to generate over $800 million of cash over the next 4 years cumulatively. Our capital allocation will be consistent with past practice deploying 50% of free cash flow to M&A and organic investment in our business, with the remainder split between dividends and share repurchases. We have consistently been disciplined acquirers and M&A will likely be a key component of our achievement of Shutterstock 2027. We are pleased to be able to introduce long-term targets as part of Shutterstock 2027. We believe this framework will allow investors to better understand our long-term revenue growth opportunity more clearly see the business mix shift for the large cash flow TAM and provide clarity into our plans for margin expansion and capital allocation. And with that, operator, we will open the line for questions.
Operator: [Operator Instructions] Our first question comes from Bernie McTernan with Needham & Company.
Bernie McTernan: Maybe just to start, we'd love to just get your level of conviction on the 2027 targets and what the macro environments assumed and really when content revenue coming back to growth? And really the client base of computer vision deals as you mentioned earlier going down market and more retail focus. Just wanted to get some broader macro assumptions to underpin the '27 outlook?
Paul Hennessy: I'll take that one. And I'll start with the macro. We've got the same crystal ball that you all have. So we've made the assumption that we're going to be operating in a market not tremendously different than the market that we're operating in today because it's just very, very difficult to project. What gives us the conviction about delivering big numbers and a return to growth categorically for our business is that we know how to do that. We've done it with our core content business and when we lean into businesses, they tend to scale nicely and we're going to be doing that again with our new product offerings of data, distribution and services. And the truth is we wanted to shine a light on these businesses so everyone could understand our capital allocation, the growth opportunities and the TAM expansion. And when you look at expanding our core content TAM by over 10x, we believe we're going to get a share of that market. And so we're highly confident in the numbers that we put forward.
Jarrod Yahes : Bernie, the one thing I would add is on the content side of things, if you look at a historical 4% growth CAGR expanding to 7% respectively, about 1/3 of our revenues is now 3D video and music and non-image revenue types. That piece of the content business that's a third of the revenues is growing double-digits, it's growing at about 12%. And so when 1/3 of your business is becoming a larger and larger piece of the pie, it does allow you to expand the growth of your business. And so we look forward to that mix shift benefiting our content business prospectively over the next several years.
Bernie McTernan : And just one follow-up, you mentioned data moving more toward -- those sales moving more towards marketplaces and more retail in nature. Is it possible just to peel back the onion on that a little bit more? Just how active are those marketplaces currently? How is the margin opportunity different? Would you just love -- and is this a '24 event or is this kind of like a longer term potential funnel?
Paul Hennessy: So Bernie, this is a '24 event. This is something that has been in the works and an area of investment for us for some period of time. And we strongly believe that we're effectively going to where the customers are. Our customers don't naturally think of Shutterstock as a place to go for computer vision training data and training their generative AI models, but they do typically go to a DataBricks or a Snowflake or an AWS or GCS in order to acquire training data. This is also the natural compute environment for these customers. These platforms also as you would understand have tremendous brand recognition as well as sales capabilities that we expect to leverage. So we're excited about that. We don't think it fundamentally changes the economic value proposition or the margin profile. The way these distribution channels make money is not by taking a cut of the data sales, it's through the compute. And so they're looking forward to having our data on their ecosystems, so they can drive additional compute in the cloud.
Operator: Our next question comes from Youssef Squali with Truist Securities.
Youssef Squali : So, just a couple of questions maybe starting with the e-commerce revenue down 16%, there is obviously a thesis out there that AI platforms may be structurally hurting that business. Can you talk about why you don't believe that to be the case? And how do you see that business kind of progressing throughout 2024? And I think you just said earlier that you are going to stop reporting that as a segment, and it's going to just be part of content. What KPI should be looking at to see that business is indeed improving if you're going to be removing that KPI -- reported KPI?
Paul Hennessy: On the AI question, here's our view. We're dealing with the largest buyers of content in the world on a daily basis, and we're in discussions with them on a daily basis for their creative needs. And while much of the world is experimenting and playing with and testing generative AI creation, we are not seeing our customers at any level of scale, with a desire to buy, purchase and utilize AI generated images or video or 3D to this point. So we believe that any of the softness that we've seen in our own e-commerce business, as we mentioned in our prepared remarks, much is related to I think the free trial offering in our business running its course. And it's really no longer constructive to our business. And as we've articulated, we're going to be moving away from that and we'll find new and other interesting ways to promote our business to our smallest and maybe less frequent customers. But Shutterstock has built a business in offering its products and services to customers that need to create it -- need to create some kind of advertising or other use in our bonafide customers, and we're going to appeal to those customers that are actually retentive and have a desire to purchase content.
Youssef Squali: And then maybe one more. The 3D opportunity, can you talk a little bit about that and the partnership with NVIDIA? I think you talked about it being a 2024 event. Would you expect it to be early in 2024 or is this kind of by end of year? And how should we be thinking about the revenue opportunity for this one?
Jarrod Yahes : So Youssef, as you know, this is something we've been working on for some time. This has been an area of investment. Our training of 3D generative model is a different and likely a more challenging endeavor than an image generation model. And so there's been a lot of work taking place behind the scenes. We're excited to bring this to market. We already have been working with alpha customers on the large customer side, who have an interest in this technology. There is the potential to significantly lower cost of content creation across a range of use cases and opportunities from gaming to film development. And so there is a lot of interest and there are not products in market that really are trained with the level of clean data that our product will be trained with. We do anticipate having this out in the early part of the year. This is not a second half of the year event. This is a first half and maybe even a first quarter type of rollout and we're already in extensive testing with alpha customers. So we are quite excited about this opportunity. This is not necessarily going to be a retail opportunity at first. It's going to be an API offering for some of the most sophisticated large customers in the world, but we are quite excited about this opportunity here.
Operator: Our next question comes from Andrew Boone with JMP Securities.
Andrew Boone: I wanted to ask about Giphy and where that sits today as well as how this factors into your new kind of 2017 framework and what we should be contemplating there? And then there are press reports that Reddit just signed a $60 million a year deal for their data. Can you just step back and talk big picture about pricing and how you guys are thinking about pricing your deals? And with respect to that $60 million a year figure that's out there. How do you guys think about your data sales?
Paul Hennessy: I'll take Giphy and Jarrod can take data. On Giphy, Giphy plays a large role in the data distribution and services model going forward. We've been since acquisition in the middle of last year, we've been dusting off the ad platform. We've been going to market both with ad sales and working with our API partners for value exchange. And as you heard in my prepared remarks, given the amount of traffic and what I would call modest CPM rates, we believe this business is in the hundreds of millions of dollars and therefore plays an important role in the growth of our new area called data distribution services. So Giphy is critical to that element and we're super excited with the momentum and the performance thus far.
Jarrod Yahes: I would just add on to that by saying that Giphy is already growing. Giphy is already acquiring clients. We're very excited about the potential here and Giphy also plays into data, as Paul mentioned previously. Hearing that Reddit is looking at a $60 million deal annually for its data is not entirely surprising. I think there is a broad realization that training generative models on data that is scraped, that is not paid for, where content creators are not remunerated for their works is not a sustainable long-term business model. There is a case pending with The New York Times that I think people are eagerly awaiting the outcome of. And I think while it is possible to scrape data and use it in a model, ultimately if enterprise customers are going to want to use the works of that model, they are going to want to know what ingredients are used in the training of that model. And so that is going to benefit our business and that is benefiting our business. There are companies that are taking shortcuts today and they are able to train our models, but I think what they're going to find is, if you're going to want to actually commercialize that model, you are going to need to convince your end customers that the training data set that was used was rightfully acquired. And so we believe that that's a significant tailwind for our business. As Paul spoke about, we think this is a $9 billion TAM with very significant 20% type of growth potential and we are just in the early stages of gearing up this business for growth, bringing it to the cloud ecosystems for distribution, adding to our business development team in order to get our data out there and today working with many of the hyperscalers, but also newly extending our reach into smaller companies in the generative ecosystem, many of which have received billions of dollars of venture capital backed financing. So we're excited to sell and expand into the data ecosystem.
Operator: Our next question comes from Nitin Bansal with Bank of America.
Nitin Bansal: You mentioned that you were expanding your delivery model by leveraging cloud marketplace partners, which allows you to go from like wholesale provider to like retail providers. Can you throw some light on the pricing structure of this data for retail consumers? And secondly, your competitors also have similar set of data. So what kind of competition are you seeing in the data market? And what are you seeing as the expectations for that in the long basis growth?
Paul Hennessy: As you would expect the way we price our data is effectively depending on the volume of data consumed. So there is a volume based pricing where the more you purchase, the lower the unit price of that data. There is differential pricing for images as compared to videos, music and 3D. And ultimately, these deals are fairly individually negotiated depending on the use cases of the customer. Some customers would like access to this data for generative model training for a number of years, other customers are looking for a shorter period of time. So, I think that impacts the pricing as well. Ultimately, as we think about this, we think that there are tremendous opportunities here in order to grow and these cloud ecosystems are going to be the place where that distribution takes place.
Operator: [Operator Instructions] And I'm not showing any further questions at this time. I'd like to turn the call back over to Paul for any closing remarks.
Paul Hennessy: Thank you. As always, we want to express our gratitude to our customers, contributors and of course, our employees. Thank you all for joining us. That ends our call for today.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect and have a wonderful day.